Operator: Greetings. Welcome to the FreightCar America’s Third Quarter 2021 Conference Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Lisa Fortuna. You may begin.
Lisa Fortuna: Thank you and welcome. Joining me today are Jim Meyer, President and Chief Executive Officer; Terry Rogers, Chief Financial Officer; and Matt Tonn, Chief Commercial Officer. I’d like to remind everyone that statements made during this conference call relating to the company’s expected future performance, future business prospects or future events or plans may include forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Participants are directed to FreightCar America’s 2020 Form 10-K for a description of certain business risks, some of which maybe outside of the control of the company, that may cause actual results to materially differ from those expressed in the forward-looking statements. We expressly disclaim any duty to provide updates on our forward-looking statements, whether as a result of new information, future events or otherwise. During today’s call, there will also be a discussion of some items that do not conform to U.S. generally accepted accounting principles or GAAP. Reconciliations of these non-GAAP measures to their most directly GAAP measures are included in the press release issued this morning. Our earnings release for the third quarter 2021 is posted on the company’s website at freightcaramerica.com and our 10-Q will be posted later today after the market close. With that, let me now turn the call over to Jim for some opening remarks.
Jim Meyer: Thank you, Lisa. Good morning and thank you all for joining us today. As you saw in our third quarter earnings press release today, we reported a fourth consecutive quarter of positive gross margin as well as positive operating income at the manufacturing level for the second quarter in a row. During the third quarter, our revenue was up 131% year-over-year and 56% sequentially. We delivered 505 railcars versus 163 in the same period last year. These results come in while our team continues to build out the new facility in Castaños, Mexico, refine all aspects of our manufacturing operations, heavily focus on material cost reduction and deal with the ongoing challenges of the pandemic and global supply chain. We delivered the fourth consecutive quarter of positive gross margin at $1.5 million, despite incurring significant expense related to the launch of a new car model. Without this extra expense and the associated challenges, we estimate that our gross margin would have been approximately 2.5x higher during the quarter. In a company like ours that is currently running two production lines, the impact of a messy launch has the potential for an outsized impact. With that said, this is now well behind us and we are determined not to incur something like this again. Additionally and similar to many other manufacturing companies, we continue to face challenges related to the supply chain and raw material inflation. Specifically, higher steel prices have persistent and appear to be having a temporary impact on order closings. Over the last 12 months, we have seen steel prices appreciate by roughly 225% and steel is of course the largest input to our manufacturing cost. In response to this, our team is doing everything they can to protect margins, mainly through a renewed focus on material cost reduction across the board, passing through cost increases where possible and being more selective on the business we accept. As we mentioned last quarter, given our now smaller size and lower fixed cost structure, not every piece of business needs to be treated as must-win business. Additionally and most importantly, our business remains operationally profitable at the manufacturing level despite these significant headwinds. Given the transformation of our manufacturing footprint that we have successfully completed once the environment normalizes, coupled with added manufacturing lines and capabilities in Castaños, we should be positioned for a great future. The demand environment across our end markets is strengthening and is congruent with the return to growth strategy we laid out at the beginning of this year. That said we believe some customers are delaying orders temporarily with the hope that the inflationary environment cools. The pent-up demand is evident to us and we believe that a market recovery is forthcoming. For the fourth quarter, we will continue at a production rate that supports our prior guidance, which was raised last quarter to 1,750 to 1,850 railcars for fiscal 2021. As noted on the last call, this is up 20% at the midpoint compared to our original outlook of 1,400 to 1,600 railcars at the beginning of this year. During the quarter, we continued to make progress on the planning and construction of our own fabrication shop and an expansion to our wheel and axle shop. Each of these work streams will bring additional and meaningful efficiencies to our production process when brought online in 2022. Further, we have also broken ground on the two additional production lines at Castaños and continue to expect to have both online starting late next year. As we emphasized during last quarter’s call, we remain excited about our workforce in Castaños and believe it to be a real differentiator for the company. Today, the Castaños team is approximately 950 individuals and is approaching nearly a 100% rate of voluntary full vaccination against COVID-19. Our workforce is readily scaled as we continue to grow and is well trained, healthy and committed to our future just as much as the rest of us are. Shifting gears, subsequent to the quarter end, we received our first Mexican VAT refund. At the end of the quarter, the VAT receivable totaled $30.1 million, and the first refund was for $10.2 million of the outstanding balance. We anticipate that the remainder of this balance, plus additional money paid in since the quarter end, will be made in 2022. Furthermore, we believe that we are on track to receive the remainder of our certifications within the next 3 months, which will both greatly reduce the amount paid in each month and further speed up the refund cycle. As it relates to our capital structure and future cash needs, we are focused on all of the following: improving our cash cushion; improving on our various loan terms and conditions; ensuring ample funding to complete the expansion of our Castaños facility; and eventually funding and entrance into the tank car market. Furthermore, we feel there are multiple means in which to support all of these. In summary, we are pleased by the progress we have made and the results we produced in the third quarter despite the challenges mentioned. We are confident that our plans to return to growth and profitability are taking hold. With that said, I’d now like to turn the call over to Terry for a review of our financials. Terry?
Terry Rogers: Thanks, Jim, and good morning to everyone. As Jim mentioned, our third quarter results demonstrate continued progress, and we remain excited about the long-term growth prospects. Consolidated revenues were $58.3 million in the third quarter of 2021 compared to $37.4 million in the second quarter of 2021 and $25.2 million in the third quarter of 2020. The company delivered 505 railcars during the third quarter of 2021 compared to 313 railcars in the second quarter and 163 railcars in the third quarter of 2020. Our gross margin in the third quarter was $1.5 million, the fourth consecutive quarter of positive gross margin for the business. Gross margin was slightly lower compared to $2 million in the second quarter of 2021. As Jim has already alluded to, our third quarter results were impacted by the challenging launch of a new car model. SG&A for the third quarter totaled $5.7 million, down from $6.3 million in the second quarter of 2021 and $7.2 million in the third quarter of 2020. Consolidated selling, general and administrative expenses during the quarter included decreases in stock-based compensation of $0.6 million, bad debt expense of $0.4 million, and legal costs of $0.5 million. Consolidated operating loss for the third quarter of 2021 was $4.2 million compared to an operating loss of $4.2 million in the second quarter of 2021 and an operating loss of $41.3 million in the third quarter of 2020. The operating loss in the third quarter of 2020 included $30.1 million of restructuring and impairment charges. Manufacturing operating income for the third quarter was $0.2 million, equivalent to the manufacturing operating income in the second quarter of 2021. The manufacturing operating loss was $36.8 million in the third quarter of 2020. This was the second consecutive quarter of positive manufacturing income. While there is still work to be done, this is evidence that our manufacturing footprint in Castaños is putting us in a strong position to succeed. Similar to previous quarters, the warrant issued with our November 2020 financing as well as the contingent award issued with our May 2021 financing will impact our financial results. The warrant liability is marked to fair market value each quarter, with the change in value impacting our net income and earnings per share calculations. For the third quarter of 2021, the loss on the change in fair market value of the warrant liability was $0.3 million compared to a gain of $3.5 million in the second quarter of 2021. As a reminder, this is a non-cash item, reflecting the change in our stock price during the quarter. Interest expense during the third quarter was $3.6 million compared to $3.2 million in the second quarter of 2021 and $0.2 million in the third quarter of 2020. For the third quarter of 2021, adjusted EBITDA loss was $3.5 million compared to an adjusted EBITDA loss of $3.1 million for the second quarter of 2021. In the third quarter of 2020, adjusted EBITDA loss was $8 million when adjusting for the items previously discussed when reporting on the operating loss and other non-cash or non-recurring items. Now moving to the balance sheet. We finished the quarter with cash and cash equivalents, including restricted cash of $27.5 million compared to $20.7 million at the end of second quarter 2021. Also, as Jim noted, we made progress on the VAT refund process subsequent to the end of the third quarter. As of today, we have received $10.2 million and expect that the remainder of the $30.1 million balance at September 30 and any additional VAT money paid since the quarter end will be refunded in 2022. Capital expenditures for the third quarter of 2021 were $0.6 million compared to $1.3 million for the third quarter of 2020. We maintain our view that fiscal year 2021 CapEx will be significantly lower compared to 2020 and believe it will range between $2 million and $3 million. CapEx will increase in 2022 to complete the previously announced expansion of our internal fabrication capabilities by midyear and value streams three and four by the fourth quarter. Finally, as is highlighted in our financials, the Small Business Administration has forgiven our $10 million PPP loan, which further strengthens our balance sheet. With that financial overview, I’d like to now turn the call over to Matt for a few commercial comments related to the third quarter and moving forward. Matt?
Matt Tonn: Thanks, Terry. We continue to see healthy signs of recovery in the overall economy as well as the railcar industry. Over the last year, freight volumes have largely recovered to pre-pandemic levels, and railcars and storage have declined in each of the previous 15 months, signaling an improved rail environment. Additionally, higher scrap values continue to support the scrapping of older railcars. We see this trend continuing for the foreseeable future, further supporting an improved railcar replacement market. However, as Jim noted, we have seen higher raw material costs, including steel, in particular, which has caused some of our customers and buyers in the market to pause and evaluate the inflationary environment. This appears to have temporarily stretched the sales cycle. And as you have heard from our other company – other companies in the space, order activity in the current market can be characterized as somewhat choppy. The good news is order inquiries remained very robust in the quarter. In the third quarter of 2021, we booked 200 car orders compared to 1,133 in the second quarter and 100 in the third quarter of 2020. While this is obviously a decline sequentially, it is worth noting that additional orders were booked shortly after quarter end. And once more, inquiries and bidding activity is strong. While the speed and cadence of the market recovery remains tough to predict, the Castaños footprint allows us to be flexible and disciplined as we are focused on filling our production lines with the best possible business we can. Finally, as Jim already mentioned, we have maintained our 2021 outlook at 1,750 and 1,850 railcar deliveries. With that, I’ll now turn the call back over to Jim for a few closing remarks. Jim?
Jim Meyer: Thanks, Matt. To conclude, in the face of some temporary challenges during the quarter, our recovery momentum continued to build, and we believe that our business transformation is working. We look forward to sharing our successes with you as we continue on our journey. That concludes our prepared remarks, and I’ll now turn the call over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Justin Long with Stephens. Please proceed with your question.
Justin Long: Thanks and good morning.
Jim Meyer: Hi, Justin.
Justin Long: Hi, how are you doing? I wanted to start with a question on the inquiry levels you’re seeing in the market. You commented that they are still at healthy levels, but how much of the pipeline right now would you say is – customers saying that they are interested in buying railcars just at a lower price than what we’re seeing today given commodity costs. And if that’s the view that you’re hearing from most of your customers, do you have any sense for kind of what kind of pullback we need to see in steel prices before people start to pull the trigger?
Matt Tonn: Good morning, Justin, good question. I don’t know that we know the specific breakdown of what customers are holding back because of pricing. The reality is everyone is looking at the marketplace and judging what direction they want to head to finalize their investments and assets. I think that the reality is, is that there is demand for freight cars regardless of pricing right now. We are booking orders in that space. And I think we’re going to continue to see a mix of customers in both areas, right? Those that are going to hold off for a bit, see if there is a relaxing of raw material pricing and those that simply just have to replace cars.
Jim Meyer: Yes, Justin, this is Jim. I would say, kind of describe the market as a little bit conflicted right now. The demand is there. The need is there. The inquiries are there. Orders are being placed. They are just not being placed at the rate that’s commensurate with the inquiries. But I don’t – I’m not sure it’s really just kind of a static idea that if steel comes down to x, suddenly, orders get placed. Because the longer a potential customer, of course, is evaluating placing those orders, the – presumably, the need to place those orders also increases. So it’s coming. And the longer there is a level of pause on the part of placing orders, it just further adds to the demand side of the equation. So it’s – as I said, it’s just feeling a little bit conflicted to us right now, but the main emphasis is the inquiries are strong. They are high-quality inquiries. And so we’re quite confident at this point that the inquiries and order activity that is out there is still commensurate with our plans as we look to next year and bringing two more production lines on stream.
Justin Long: Understood. And I think I heard that there have been some orders received subsequent to quarter end. Any way you could quantify the number of orders that you’ve received so far here in the fourth quarter?
Jim Meyer: Sure. At the end of the fourth quarter, no, we will do that….
Justin Long: I got excited for a minute.
Jim Meyer: Yes. We will save that for – we will do it in the current quarter on the next call.
Justin Long: Understood. That’s fine. And I wanted to circle back to the headwind associated with the railcar model launch. It sounds like that’s behind you. So would it be fair to say that you’re now seeing quarter-to-date gross margin run rate that’s consistent with what you alluded to at the beginning of the call, 2.5x what you reported in the third quarter. Just trying to understand if that impact is now fully behind us. And maybe you could help us understand if that’s something we should expect over the next few quarters from other railcar model launches.
Jim Meyer: So, we – that particular issue is squarely behind us. There is no ongoing residual effect. And I am not going to delve too deep into the specifics, but I think it’s fair to say the team learned a lot from launching new car design across borders. So, we don’t see that coming up in the near future anyway, and we certainly don’t see an issue like this coming again. I am pretty confident we learned from that. As it relates to can you do the margin math and forecast the fourth quarter, I think – I have to say I haven’t actually done that math myself, but I will say, as you know, every order has its own margin structure. And what we are building today is different than what we were building in part in the prior quarter. So, I would be just a little cautious on delaying straight exact math on that front.
Justin Long: Okay. And maybe just a follow-up on that, would you say that the mix of car types as we go into the fourth quarter is a positive or negative relative to what you built in the third quarter?
Jim Meyer: Yes. We don’t really comment on that. And so we are not going to today. We have got a tall order book for the quarter, as you know, if we are going to hit the numbers we said we would hit for the year. And I think we will just leave it at that. We have got a volume ramp for the quarter that’s approaching. I think it’s about 30%-plus over Q3. And if you do the math, I think Q3 was a volume increase of probably 70%, 80% over Q2. So, we are still very much ramping the facility, but so far, so good on the volume piece of it.
Justin Long: Okay. I will leave it there and pass it along. Thanks for the time.
Jim Meyer: Thanks Justin.
Operator: [Operator Instructions] Our next question comes from the line of Matt Elkott with Cowen. Please proceed with your question.
Matt Elkott: Good morning. Thanks for taking my question. Jim, I wanted to ask you about the tank car authorization that you guys got. What’s a realistic timeline for when this could actually be produced going forward?
Jim Meyer: Yes. Hi Matt. Good morning.
Matt Elkott: Hi Jim.
Jim Meyer: We are not prepared today to lay out what an implementation plan looks like for tank cars. What I will say is maybe a little bit of a rehash from the last call. As you know, in the tank car market, it’s not a homogeneous market by any sense. There are many, many car design permutations. The first of our designs is fully approved through the AAR. We have additional car designs that are in – for approval at this time. We will be unable to do anything in the tank car space until we get additional manufacturing lines put on stream, which as we have said, will be late next year. But we feel good about where we are headed and how it fits with the timing of our business plan from a design approval standpoint, there is a lot of supply-based aspects to this. We feel good about where we are on that piece of the timeline. And at some point in the future, we will lay out what a tank car introduction for this company does look like. But I think the – if there is an additional piece of information to put out today, it would certainly not be before we get the additional value streams built and ready to produce the two additional production lines.
Matt Elkott: And then Jim, you mentioned that you guys have learned some lessons from some of the headwinds you faced with the new product launch in the third quarter. Are those the types of lessons that would apply to the tank car design, and that – the tank car product will be a brand-new product for you guys, and it’s very different from freight cars. The new product launch, the headwinds in the third quarter is more your comfort zone, I think.
Jim Meyer: Yes. So, I mean it’s a very insightful question. I would tell you in total candor that the issue we had in the third quarter with the launch really started with a level of overconfidence. And because it didn’t feel that dissimilar, tank cars are other animals. That would involve a launch process that is pretty fundamentally different. It would include what I would call a full and proper prototype and manufacturing validation phase before we began to ramp up production or sales. So, I would certainly not draw the conclusion that the next launch is going to be met with the same challenges as the last one. We definitely here don’t think that’s the case. And I don’t think what we stepped on with the last launch is really a harbinger of what could happen even on the tank cars because the approach would be so different.
Matt Elkott: And other than the tank car design in the future, what are the areas – what are the car types that we could expect new product launches in next year or the year after? Just an idea on what you guys might be working on?
Jim Meyer: We feel the product portfolio is pretty complete in the absence of tank cars at this point. And as we look to future order intakes and future launches, I think we will really be talking about variations and derivatives of existing products. As we have said before, our expectation is we will thrive on somewhat smaller order sizes. We will thrive on a level and degree of customization. And again, modifying something that we have built before that’s fully tooled and familiar to us is really a small part compared to launching something new. So in total, in the absence of a tank car offering, we feel our portfolio is pretty complete and very much right for us.
Matt Elkott: Got it. And then just maybe switching back to the order side, I know we have talked a lot about it so far on the call. But I am just – it’s hard to believe that not more shippers or lessors have reached the point of like throwing in the towel and saying, listen, I need these cars, no matter what. I know there is a 20% or 30% steel premium on the cars. But we are starting to hear from the actual end users of the cars that they are facing shortages. So, it is a bit perplexing, I guess why the order uptick has not been stronger. I missed that for Jim and Matt, I guess.
Matt Tonn: Yes. Matt, I would say that speaking specifically for the third quarter, we saw some hesitation. We are – I would say as we move forward into Q4, I think you are probably getting to a point where many customers have to pull the trigger for fear of not getting the cars when they need them. So, production space limitations that may be impacted. But I think you are accurate in that we anticipate seeing some additional activity. And there are customers that are having to make decisions just from a replacement market standpoint.
Matt Elkott: And Matt, are you guys seeing more of the number – pool of inquiries that you are getting. Are you starting to see more people who have been turning to lessors to avoid the steel premium placed on newly manufactured cars? Are there more people coming to you guys as lessor utilization basically heads to almost full?
Matt Tonn: Yes. I think we are seeing inquiries from a broad customer base. I don’t know that I would characterize it as more in that one particular space.
Matt Elkott: Okay. And then just one last question, based on all the supply/demand dynamics and the moving parts you guys are watching, is it possible that 2022 would be a materially higher production year for you guys?
Jim Meyer: We will talk about 2022 on the next call. But obviously, you might conclude it will be higher. We are building the two additional production lines, if nothing else, because we are forecasting demand and being able to fill those lines. So, each quarter since we brought Castaños online has been a quarter of increasing volumes. We are now, you can say, plateaued with two production lines. And then the next step-up will be when we get lines three and four on again later next year, assuming the demand is there. But as we see things now, we expect it to be.
Matt Elkott: Great. Thank you very much, Jim, Matt and Terry.
Jim Meyer: Thank you.
Matt Tonn: Thank you, Matt.
Operator: [Operator Instructions] And it looks like we have reached the end of the question-and-answer session. And I will now turn the call back over to Jim Meyer for closing remarks.
Jim Meyer: Thank you all for joining today’s call. We are excited about the future of FreightCar America and truly believe we are well on our way to sustaining long-term growth. Our year-to-date results show that we are already enjoying the benefits of our refined footprint and business strategy. And we are confident this will lead to continued success as we look to the fourth quarter and then on to 2022. With that, thank you, and have a great day.
Operator: This concludes today’s conference, and you may disconnect your lines at this time. Thank you for your participation.